Operator: Good morning to everybody joining us, from Australia today and those, if you're up nice and early in Europe and so it's good afternoon, if you're joining us from North American tonight. I hope you and your families are all keeping safe and healthy as the latest outbreak of the COVID Delta variant sweeps across Australia and around the globe. Here in South Australia, we're looking forward to moving out of our lockdown this evening. In the meantime stay at home restrictions are still in place. We're all doing this call remotely. So our heart certainly go out to those New South Wales who are all working through a very unreal current challenge. Today I'm joined by Warrick Ranson, our Chief Financial Officer and we're both dialling in from different locations. So please bear with us if there are any minor technical issues. I'm sure this will go smoothly though. As with our previous calls, I'm just going to flag the highlights. So we have more time to spend on Q&A. I'll note as well, that there are a few movements to guidance and I'll talk to these collectively and in detail when we get to the slides in the presentation. Coming up is our usual disclaimer and compliance statement slides, which are available on our website for you to review at your leisure. Our team has been working safely through the various intermittent restrictions and have been -- that have been occurring over the last few months. It's been a very positive quarter that has seen us in behalf in a strong cash position, supported by reliable operational performance and good metal prices. The second quarter saw a 22% uplift in copper production quarter-on-quarter. Performance from our assets and Q2 has gone fairly well and a few highlights. Let me reference these. So Prominent Hill delivered the highest recorded underground or mined in its history. Grade increased at Carrapateena in line with its mine plan. The West Musgrave project study and reserve joined continued in the last round of study. The last remaining ore [ph] was mined out. And we're now preparing for its future as a tailing storage facility. Development progress at Pedra Branca continued to be impacted by the direct inflow on effects of COVID-19, resulting in a lowering of the guidance of the carriage. Having said that, full year group copper guidance remains on track. We continued progression of our growth pipeline, noting that we have a material milestone and decision points for some of our growth projects in the second half of this year, including a decision on a Prominent Hill sharp expansion. As a result of the strong operational performance, we finished the half in a robust financial position with a cash balance of $134 million on the first net revenue of $986 million and our debt facility now fully repaid. We've also lowered group's C1, cash cost guidance for the year, primarily due to higher byproduct credits associated with the expected high gold production at Prominent Hill. I know most people on this call are familiar with our strategy, but as a quick recap, creating value for our stakeholders sits at the center of our strategy and this is what we believe will help us deliver on our purpose of going beyond what's possible to make lives better. Importantly, each stakeholder that's our employees, our shareholders, our communities, governments, and our suppliers is equally important to us. We look through the lens of value creation for all five stakeholder groups in our decision-making. On this company snapshot slide is a summary of what differentiates us minerals. We are a purpose-driven organization and are striving to have people be at the heart of our company with our organizational culture, our key enabler. Our people have built the assets we have, the growth options we're working through and have kept this business performing strongly irrespective of the macro challenges presented to us. It also includes an overview of our operating assets and projects at different stages of development and the type of product they produce or are expected to produce. Looking at the next level then, what we've done on this slide is to map out the different hubs and spokes of each of the provinces we are developing or looking to develop, their key steps and the potential growth projects. Our approach is to look for Copper rich provinces, where our initial or existing investments can serve as a launching platform or hub for other opportunities. This is an asset on a page summary for your ease of use. We have developed a set of stakeholder value creation metrics you see on screen to provide a tangible assessment of how and where we create value. Reporting on these metrics is aligned with the different elements of the Oz way, which you saw on the earlier slide. During the quarter, there've been a number of value creation initiatives across our operations. Notably, we continue to build resilience for our stakeholders and to enhance community wellbeing in a COVID-19 environment, through providing support for the procurement of fresh food and care packs and the implementation of corporate governance training and digital learning programs. We also held health checks with our traditional owner partners in South Australia on the status of our relationship and our commitments in a joint arrangement with the South Australian state government. We are in the early stages of also establishing a not-for-profit self-sustaining innovation center in the soon to be completed and caught up underground mine. This will be a first in Australia. In this activity summary slide, is our Q2 performance. We are on track to deliver group copper production guidance with a group cash cost load on increased gold production. We've also increased gold production guidance due to higher than expected gold grade in stockpiles, the Prom Hill. While site absolute cost of being well controlled to date by the South Australian asset in the current cost inflationary environment, keeping us in the bottom half of the cost curve, we will need to keep a tight cost focus as inflationary pressure continues to emerge. Outgrowth growth pipeline continues to advance demonstrating the quality of the organic growth options available to us. So Warrick, I'm going to hand over to you to take us through the financial performance on the next few slides, please.
Warrick Ranson: Okay. Thanks Andrew and good morning, everyone.As usual, let me touch briefly on capital management to begin with. So firstly, our strong revenue performance floods through to operating cash-flow and enabled us to repay the residual draw on our revolving credit facility in full. As Andrew mentioned, this resulted in a closing cash balance of $134 million at the end of June with no corporate debt and also supported our ongoing investment in both the operating portfolio and progressing our strong growth pipeline. Despite the robust pricing environment we're in, we continue to maintain our strong liquidity buffer focus on prudent working capital levels and ensure we have a strong balance sheet to enable our growth strategy going forward. As in quarter one, we also continue to focus on our margin performance against the stronger Australian dollar and opportunities to reduce our unit cost through productivity initiatives and supply chain optimization with the softening of the gold price. During the quarter, we made the decision to effectively close out the residual hedge book by our offsetting contracts and include these settlements from an earnings perspective in our first half results. We move on to slide 11,so operating cash was principally allocated to repaying debt, mine development activities and the pilot of our residual tax obligation for 2020.Work on the Western access road, continued at Carrapateena with the intention to complete this by the end of the year and enable all weather access to the site as well as better service, our concentrate movements as production rates continued to increase there. Prominent Hill raised bores were commenced for ventilation upgrades. We extended the pace articulation at Malu and of course continued with the extensive resource drilling program. Our spend in the carriage as was associated with the continued progression of the Pedro Branca underground mine, as we approached first stoked production later this quarter and overall working capital levels remained largely unchanged in-line with our shipping activity and receipts. Moving to slide 12 now and just to remind you that we've again included a reconciliation of our C1 cash costs to operating costs in the appendix, as we rapidly have parts of the presentation of that financial results for the first half, so hopefully that will help with that reconciliation. As previously noted, we continue to manage our unit cost performance against the impact of the comparatively stronger Australian dollar, which has effectively rebased us for the current year. The team has also performed extremely well in the context of ongoing COVID responses and restrictions. As we've just experienced. It certainly hasn't gone away. However, pleasingly we've been able to maintain a unit costs relatively flat, despite a significant pressure appearing in the industry across the number of production cost elements, particularly in the areas of Stu oil and ammonia related Autumns, which have all experienced primary pricing increases, together with general freight cost increases. The way the market is definitely tightening, we continue to leverage the strong relationships we have with key contractors, and we've certainly seeing a benefit from our move at the end of last year to restructure and uplift our REM arrangements for the majority of our workforce. Importantly, we continue to perform well on our absolute costs across the group. Processing costs improved overall, despite major maintenance shuts at Prominent Hill and [indiscernible], with the Prominent Hill mill down this quarter for 15 days, whilst we changed out the girth gear on the sag. This followed higher maintenance cost at Carrapateena last quarter associated with its first major shut. We also saw an improvement in mining cost of Carrapateena, following the maintenance hit we took in Q1 as part of our contractor transition and managing the backlog there. All in sustaining costs continued to reflect the time of activities on sustaining capital. However, we have elected to continue prioritizing supporting mine development infrastructure at Carrapateena over lateral development in this early period, increasing our initial capital guidance in this area, as well as seeing its impact in the quarter. And whilst gold production was in line with the previous quarter, the level of gold price offset, a number of those operating gains, which I've just talked about, Andrew?
Andrew Cole: Yeah, thank you, Warrick. So in the following few slides, I'm going to cover a few of the highlights that we haven't previously touched on. Firstly, Prom Hill continued to reliably deliver during the quarter and recorded its highest underground ore movement to date, but the annualized rates were sustained above 4 million ton per annum in the top-down sequence only. Whilst work continues at the bottom of the current life of mine level to establish level infrastructure for starting the bottom up mining sequence shortly. The bottom up and top down mining will enable an increase in mining rates for 2022, up to between four and five million tons per annum. We are on track for the shaft expansion study investment position in the next couple of months, which includes and the work over the last couple months has included some early sharp location preparatory works. So I'm not going to talk too much about the Prom Hill expansion study in this quarterly, given the imminent decision. We started the trial at Prominent Hill to test the hydrogen direct injection system to improve engine combustion efficiency for surface dive rigs. This system has the potential to reduce emissions of greenhouse gases and particular as well as improve fuel consumption. The underground team has also started tele-remoting, the direct loading of trucks from some stopes, which cut out the need from inference stockpiles and re-handle. So great to see these types of initiatives continue to improve the productivity in the operation. In terms of the growth and exploration activity at Prom Hill, the resource drilling program has continued and expansion related drilling has been completed with a primary focus on installing across the Malu and [indiscernible] in the lights zones. Results from the program and not part of the interim resource model being used in the expansion case, but they will be incorporated into future optimizations of the mine plan and schedule. At Carrapateena copper grade increased to 1.39% for the quarter as expected and we are expecting to keep trending towards reserve grade over the course of this year. At Carrapateena, the team achieved a new monthly throughput record of 420,000 tons in June and recovery continued to exceed our original assumptions. This is very pleasing of course, which allows us to maintain focus on underground development and production rates. The cave is expected to propagate significantly towards the surface in the coming months, and we are closely monitoring it to ensure continued cave growth and maintaining production levels. In terms of growth, aside from progressing the construction of the Western access road, which will be completed later this year, several underground productivity improvement initiatives have also been completed. Feasibility study engineering and technical studies of character in a block cave expansion were completed as well as supporting work to progress opportunities around green mind or sorting operational technology and future skills, these technical studies and the cost estimates optimization and valuation that will be peer reviewed before the block Cape declines start later on this year. At West Musgrave, we completed the West Musgrave project, Australian industry participation plan, which was approved by the department of industry sites, energy and resources. We also completed archeological surveys for the proposed tailing storage facility and the power plant footprint resource infield NGO technical journal programs. And they both table continued and reactive grout assessments concerned and insignificant risk with the results to further support and informed drill and blast optimization. So this project is progressing well and remains on track for the investment decision in 2022. Now on to Brazil, mining at the Antas open pit was completed in June and we're in the process of transitioning the open pits with tailing storage facility from next year at Petro breaker development was lower than expected due to the impact of COVID-19 and related delays in the ventilation infrastructure and low equipment availability. Additional money equipment is arriving at site in June. And we expect the first underground soap production to start next month. This will be a significant milestone demonstrating Brazil team can design permit and build a new satellite mine in just a few years. We completed resource drilling at Sandler SIA and are on track to deliver a resource and study update. Later this quarter, in terms of growth, we completed a drilling program designed to test extensions of known mineralization on the Canal West project 10 kilometers from Pedro breakup. As the result confirm the presence of low grade copper mineralization. In the group progress on Centerra Gold was slow again, due to COVID-19 and associated delays to the relocation plan development required for progressing according junction removal. However, we are continuing to work on environmental reporting and updating the pre-feasibility study, which is on track to be delivered in Q3.On to our growth pipeline with just a few key things to note together with red metal, we have started drilling at the three-ways project in north Queensland and also started ground geophysics surveys, Lauren Hill and Brita Plains projects and results and all these are activities are expected this quarter. Further overseas, we added an additional tenant to the letter, our project with our partner NPS in Sweden. And we are preparing for atrial program on the Paraiso IOCG prospect in Southern Peru, where the Downer contract being awarded and drill plan for the second half of this year. We've updated the timeline slide so you can easily see the different assets, projects, stages of development and MRR information at a glance and we'll continue to maintain this slide for you in future updates. Moving to key milestones for 2021, noting a couple of changes with the [indiscernible] results and study updated now to be delivered this quarter. Of note also is the change related to the Centerra Gold injunction removal. This milestone has been removed as a result of sustained inflow and effects of the COVID-19 with most federal government departments closed or short-staffed, which is constraining our ongoing work for progressing injunction removal. When they're processed the reviewing the associated timeline and expect to be in a position to provide an update on this later this year, all other milestones remain the same as we have shared earlier this year. Finally, in closing out with the guidance; full year group copper production guidance remains on track, notwithstanding a lowering of annual guidance in the Carajás, which has been impacted by direct inflow and effects of COVID-19. We've increased group gold production guidance due to higher than expected gold grade in stock polls of Prominent Hill. Full year group C1 cost guidance was lowered to $0.65 to $0.75 per pound, which previously was $0.70 to $0.80, primarily due to higher byproduct credits. At Carrapateena annual production remained in line with guidance for the full year. Availability and reliability of the mining fleet has improved post-transition at the underground mining contractor, albeit at a higher cost per meter as the team continues to focus on the effective formation at the cave and prioritizing supporting mine developing infrastructure over lateral development in this early period. Initial capital guidance in this area has increased as a result. Annual guidance for Pedra Branca has been reduced to 7,000 tons to 10,000 tons of copper and 5,000 ounces to 8,000 ounces of gold while growth capital guidance being reduced by $10 million down to $15 million to $20 million for the full year. So finally, to summarize before we open it up for questions and answers, we've had a very positive first half operationally when combined with a strong metal prices. We finished the half with $134 million of cash and we've repaid out revolving debt facility. We're keeping a tight cost control focus as inflationary pressures continue to emerge. Our growth pipeline of quality [ph] Brownfield project is advancing well with several big milestones coming up in the second half, including a decision on the Prominent Hill shaft expansion. So it's going to be a busy second half. So let's move on to Q&A. Both Warrick and myself are on the line tonight. So operator, can you please remind people how to ask questions please?
Operator: [Operator instructions] Your first question comes from the line of Rahul Anand from Morgan Stanley. Please ask your question. Oh, hi,
Rahul Anand: Hi Andrew and Warrick. Thanks for the opportunity. Can we start with Cara, please? I just wanted to touch upon that $30 million CapEx increase. If you can walk me through some of that and perhaps you also mentioned in the release today that you are looking at estimates being peer reviewed pre the decline for the block cave. Just wanted to understand, is that something that you were doing anyway or is there any risk in terms of CapEx? That's the first one. I'll come back with the rest. Thanks.
Andrew Cole: Yeah, sure. Okay. So there are two questions. I'll take the second one and then start on the first and then I'll hand it to Warrick to talk about the cost piece. We peer review all of our projects as they go. So peer review of the next phase of the block cave design and surface infrastructure is the standard course for us. We try and do that sort of in an agile way. So we have constant peer reviews to keep us aligned as we go if you like. So if there's any material that comes out of that, we will of course share that with yourself, but I wouldn't read anything into it other than that's something we do with all projects frequently. In terms of the extra capital, we have had some cost increases over the past few months as a result of the change out of the underground mining contractor and more effort and costs going into getting our fleet availability out and resourcing, but in parallel to that, we've also favored the vertical development, underground development, over lateral development of the future sub-levels, which does change the cost of operating and capital. Warrick, do you want to touch on that piece, please.
Andrew Cole: Yeah, I think a couple of things there, Andrew. One is and Rahul first thing is generally contractor rights are pretty much in line with our previous contract. So we're not so sort of saying we haven't seen an increase in that. It's really transitional costs, which has come in there a little bit. And then certainly that shift from the lateral development to the more permanent mine infrastructure has seen a lowering of reduction in development rights, which obviously carries a higher fixed cost sort of base. So some of those factors are flowing into that sustaining capital area, but it's really just a timing issue in terms of our prioritization of that work.
Rahul Anand: Okay, perfect. Look next one's on Prom Hill and mining rights, 4.6 million tons per annum at the moment calendar year '22, you're still guiding for the 5 million ton per annum target. I wanted to understand can you outline perhaps some of the key things that can see you outperform that money, right?
Andrew Cole: Yeah, look so Rahul, as we mentioned in this release, we've been entirely mining top-down effectively at the moment. So that's got us to I think, sustainably at or just above the 4 million ton per annum rate. As you know, we had a initiated project last year was a bit little early last year where we started a dedicated decline down to commit some bottom up-mining sequence, but that bottom up mining sequence is now under development, but we haven't actually started to draw on that. So as we start to draw on the bottom up sequence, the supplement, the top-down mining sequence, that's what will allow us to get from 4 million to 5 million tons per annum. Look, I think in June of course we will tighten that range. I think that it's probably a little bit premature because we need to get folks in place understand how they can perform, understand how they can manage the fleet interaction between the lower and upper levels. But I'd say to date that's going exceptionally well and in due course, we'll tighten that range to be able to give more clarity on that. But it's all about how these folks are going to perform now because the development rates to get to that lower level have been above what we originally expected. So I can't give you a tighter frame, but it's all about productivity from those folks and making sure we manage the truck interactions from between the lower and upper levels.
Rahul Anand: Okay, perfect. And there's no sort of congestion, so to speak at the terminal point, is there, or is that something that needs to be looked at as well in terms of sort of going beyond five?
Andrew Cole: Look so much? One of the luxuries we have at Prominent Hill is the multiple entry and exit routes. And we now dump most oil into the bottom of the open pit. So they're not having to tram oil to the surface, and then we use heavier fleet to chop it up. So that actually decongestant the mine really well for the underground team.
Rahul Anand: Look, last one for me in terms of Carra recoveries for gold sitting at 82 versus feasibility. Now we've asked this question several times before, obviously you're still coming up the curve with the plant and you're optimizing. I guess to ask the question a different way, when would be the right time for us to be comfortable in being able to use higher numbers for future years.
Andrew Cole: Yeah. Look, I do appreciate this as a recurring question. I'll probably have to come back to in terms of timing, but my gut feels we needed another couple of levels yet, so we need to be well and truly outside any of the surface oxidization that's come down into some of the surface fractures and folks, etcetera. So I think it's probably at least another level or two. So it'll be next year I would say where we can probably be clearer about what we think the lots of mine recovery might be.
Rahul Anand: Okay. That's fair. Thank you. Thanks for that. That's very helpful.
Operator: Your next question comes from the line of Sophie Spartalis from Bank of America. Please ask your questions.
Sophie Spartalis: Good morning. Andrew and Warrick, just in terms of capital cost pressures, you talked in the release around capital cost pressures for the growth pipeline of projects and particularly interested in West Musgrave project, given that it is NWA. Is the level of cost pressure enough to say the economics suffer or are we now looking at a potential of being deferred? Can you just talk to that?
Andrew Cole: Yeah. Good morning, Sophie. So Warrick touched a little bit on this. I might ask you Warrick just maybe before I answer the high-level question, you just want to talk a bit on the cost pressures we are seeing in industry.
Warrick Ranson: Yeah. I suppose we're starting to see the pickup in the flow-through of particularly in steel prices. They're sort of coming through in about a 10%, 12% sort of increase. Where they're sort of impacting us mainly at the moment is around consumables, which is about third of our OpEx. But the teams are doing really well in terms of actually managing that supply chain and looking for opportunities around that. And I think, like in terms of West Musgrave so far in that it's still going through the process of capital estimation and finalization of scope etcetera. That's probably a little bit early to talk about the sort of impact in that side -- that side, maybe.
Andrew Cole: Let me add a couple of things Sophie, so just to go to the high level question, we're repricing, scopes and contracts frequently in the market to understand the dynamic of the project. I don't think the escalation environment that we're seeing is going to change the investability of the West Musgrave project. Anytime cost go up, of course, that does damage economics, but I don't think they're material enough to change whether this project is investible or not. That's not the materiality we're seeing. And we are working to try and de-risk that position, of course. And I think the example with Lucia out of Germany is a good example of this, where we are effectively risk-sharing in investment because the value proposition for us is we can de-risk our value chain and actually disconnect crushing from flotation and give us the crushing system to run off effectively pre-renewable power. For Lucia is, they can demonstrate the Hardrock mining environment that these vertical roller mills work exceptionally well. So there's a real value proposition for us to like this work at an acceptable capital operating cost position. They're the types of partnerships that we are working on forming with key suppliers, and that helps de-risk to a degree the inflationary environment.
Sophie Spartalis: Okay. So if I have a look at the PFS update that you put out last December, you've got contingency there of around $115 million out either or out of $1.1 billion CapEx number. I'm assuming that's probably insufficient to absorb the top of capital cost increases you're seeing at the moment and likely to see come through?
Andrew Cole: We can't answer that because there's two dimensions in that number. Remember, one is accuracy, which comes to scope clarity and accuracy of the script. Then the second page is any of the other piece of the inflationary environment, etcetera. So yes, inflationary environment is changing, but also the scope is narrowing and the accuracy of the numbers in there, that's the work we're doing at the moment. So I probably can't answer that yet until we've finished the buildup of these things.
Sophie Spartalis: Okay. No, that's fine. But if we were to say, get an investment decision by mid '22, when should we expect likely timing of it coming into production?
Andrew Cole: I think we've said '24.
Sophie Spartalis: Okay. Just want to quickly change gears if I can and ask one more question, just in terms of Cara, for the remaining part of the year, the second half, you talked about grades needing to increase. Can you just talk through the grade reconciliation you saw in the second Q please?
Andrew Cole: Yeah, sure. Grade reconciliation has been very good. So I'm not so worried about the reconciliation of metal from the reserve model through the processing plant. That was something we had to work early on in Cara life because we didn't have a lot of horizontal drilling, but we've now got a lot of horizontal drilling and horizontal development of course. So our understanding of the grade model of the upper levels of Cara is very good. So I'm not so worried about reconciliation and based on we're comfortable restating that we expect to see grade -- recovered grade increase through the rest of the year.
Sophie Spartalis: Okay. And then just given that clarity then that you've got through that lateral development and drilling the grade variability going forward. Is it relatively stable?
Andrew Cole: It's relative. We expect it to be stable, but it does have a period density to it. So I think on the last call, I've explained previously Cara has owned all body. So it tends to grow high-grade in the center and low and it progressively gets to low grade issue zone outwards. Now, in sub-level cave mining methods, you start on the outside and you pull inside. So the grade recovered is more about the production advancement than it is now about the ore body. So as we develop and produce, that dictates the grade profile, which will be variable through time, but what you'll see is it trend upwards through the end of this year and into next year.
Sophie Spartalis: Okay. That's great. Thanks guys.
Operator: Your next question comes from the line of Hayden Bairstow from Macquarie. Please ask your question.
Hayden Bairstow: Good morning, guys. Just a couple for me, just on the Prominent Hill comments on the gold stockpile, is that variability something that you can sort of get control of or there's just not enough data and we're just going to see. And do you think it's more upside than downside on sort of the future, sort of gold stock pile tons coming through and just back on West Musgrave, obviously I need to call it 100% about a year ago, both commodity prices are up around 50% since then. Is there still anything being considered in terms of a partner here or is this likely to remain a 100% in those minerals project? Thanks.
Andrew Cole: Firstly on Prom Hill, look, we could do some work to better predict the grade of the stockpiles, but that of course would require stockpile drilling which is not simple itself. So we've actually, and we know that there's some variability in these stockpiles given they were built 10, 12, 15 years ago. So we've just effectively accepting the variability and the grade that's coming through. And pleasingly we've seen that skew to the upside because we were conservative in our assumptions going into this. I don't think Hayden we’re planning to do any work to really nail that down. We're just going to accept the volatility because the work you'd have to do to get grade protection and the stockpile is just not worth the effort. So we're quite happy with that variability and hopefully we'll continue to see the positive variation, but I don't think it would be safe to bank that if you like. In terms of West Musgraves the project is going really well. I'd just say, the market is moving in our favor. We've now got a 100% of the project. We're halfway through the last round of study and the project is continuing to look very positive. I've also said previously that we don't need a partner for this project from a balance sheet perspective or a risk perspective. We are looking at downstream options. So we'd love to be able to see a clean nickel concentrate make it all the way through the value chain to actually get into a battery to a vehicle. So we can capture that at the market, if you like, because we are building West Musgrave to be as close to possible as an emission free product. So we are putting some energy into downstream partnerships, but that's the extent of it, Hayden.
Hayden Bairstow: Okay great, and just on Brazil, a couple of questions there. Centerra Gold, I presume we sort of can't really advance that at all, but also given all these COVID issues, is that actually opening up some opportunities or others having similar issues in can't getting done and potentially more assets become available for sale?
Andrew Cole: Interesting question. Well, look I'm not seeing that. But we're also not necessarily looking at that area either at the moment. It's really about focus on the Brazilian current assets. It is disappointing that it's very difficult to get these things moving, but we have to recognize they're in a very difficult environment as well there. New streams of COVID in Brazil which are also causing some grief. So I take my hat off to them that they're able to advance these projects, but they're certainly slower than we had originally envisaged. So Hayden in summary, we're not looking at the moment rapidly expanding into Brazil. It's really about getting the focus on the primary asset.
Operator: Your next question comes from the line of Paul Young from Goldman Sachs. Please ask your question.
Paul Young: Thanks. Good morning, Andrew and Warrick. Can I revisit the increase in CapEx at Carrapateena please? Andrew, just to clarify the increase in CapEx for the year is really around the top development natives i.e. supporting infrastructure, etcetera, rather than an increase in likes of shock rate, rock bolts and labor costs?
Andrew Cole: Yeah, that's pretty much right. So what as you recall in January this year, we made the decision to approve the block cave. So what we've been doing over the course of this year is integrating the operating plan we've got currently with the block cave plan. And what is very clear to us is the faster we can get to crush a chamber two and build our crusher to chamber two, and get the crusher installed, the quicker we can get upwards of the 5 billion ton per year run rate from the sub-level cave, mine, and then the quicker we can get to the block cave and have those development levels out, the quicker we can get to 12 million ton per year. So that's the real material value lever for of Carrapatina if you like. So we're sufficiently in front of the production levels already. So we're prioritizing our development leaders to the bottle effectively. So that does have an impact on the mix between operating and capital costs.
Warrick Ranson: Yeah. Sorry. I was just going to add to that, Paul. We are certainly seeing an increasing ground support cost, but it's not the major driver as Andrew said. And just to be clear that there is certainly an increase in some of those consumables.
Paul Young: Yeah. Okay. Thanks. And then on [indiscernible] Andrew, how far behind or ahead are you real to the expectations exiting the quarter? It sounds like you're a little bit ahead maybe six months ago and the change in contract you've lost a few meters, but where are you versus plan on development meters as we stand today?
Andrew Cole: Yeah, we're pretty close to plan at the moment. So last quarter we were down a bit, so we do publish a chart in there quarterly. So you can see where they're trending. With the change over last year, I've last year, the changeover of underground contractors last quarter, we did have some challenges with equipment availability and I think Ben [ph] has done a great job at actually coming in here helping get our equipment maintenance strategies in place that has required a bit more money to get equipment back to scratch, get some more people into the team, build the skills and capability in the systems there. And you will note that in the quarterly, the development for the quarter is actually going back up. So that quarter has turned again. So we're pretty much on plan now. We need to see that number increase again, probably by the same amount in the next quarter.
Paul Young: Okay. That's helpful. Andrew, maybe just switching over to Prominent Hill quickly as far as access to contractors and sharp sinking contracts, is there anything, two or three that can actually sink shafts in Australia? So just curious about getting workforce into South Australia, that doesn't seem to be an issue, but are you comfortable you can get the crews in, Q3 and Q4.
Andrew Cole: At the moment we're comfortable. It's a pretty dynamic environment of course, but certainly the operations has done very well to date about 80%, I think it's about 85% of our Prominent Hill and Carrapateena operating teams resident in South Australia. So that makes it a bit easier. We do have some critical skills into slate, but they've been incredibly flexible in that the way they work. They often come and stay here when they need to and stay for longer rotations if they need to. So at this stage, we're comfortable and we're confident we can resource the operating environment. But I think like all of us in Australia, we probably need to see the vaccination rates coming up more quickly than we currently are providing an environment for all of us to actually operate well,
Paul Young: Okay. Thanks. Last question for me please is you work on some accounting questions, can you just help me out with respect to what the provisional pricing impact on revenue was in the half if any, and also just the accounting treatment of closing out the hedge book?
Andrew Cole: Yeah. So in terms of the second question, so we've booked a loss in the first half on the hedge book on closing that out. Those contracts and basically just back-to-back flow through the rest of the year. So you'll see us pick up that that mark-to-market loss for the other half, I suppose our view was that, you know, we were pretty much saying the bottom of the, the current cycle, at least in terms of the gold price, it's pretty much staying around that level. I'd have to come back to you, Paul, in terms of additional revenue on the provisional pricing, just in the corner. So we'll come back to you on that one.
Operator: Your next question comes from the line of Kaan Peker from Royal Bank of Canada. Please ask your question,
KaanPeker: Andrew, Warrick, just a group, couple of questions. It's really following up on, on in Sophie's question, just trying to understand Carol was targeting like 3,500 to 4,000 movies per quarter, and over the last three quarters you've been running you're significantly below, but you suggested that you'll progress into plan. So let me just try and understand that. And I think with Sophie's question, Andy, you mentioned that gear is more around production advancing. So can you just please talk around risk to see why 22, if there is any Greeks?
Andrew Cole: Yeah. I don't think the developers being significantly below plan. So in Q4 last year, I can't remember the number exactly, but it was over three and a half. It was straight 6, 3 7, something like that. Last quarter was definitely down through the transition and as we, as I've already answered and this quarter it's picking back up. So I don't think it's significantly below plan, but we are working to get that number back up to the three and a half to four. And as I've said with Cara patina, the single most important metric of cafeterias development, that is what will, this will drive this project. It's now not the play it with demonstrate the plant can effectively do 5 million tons per annum over the last quarter. So it's all about development right now. So I'm comfortable with it with where the development is, but there certainly is challenges in there. We still got to get the equipment about building the liability up. We've still got to get our sequence, right. We still need to see that cave breakthrough to surface because it haven't done that yet. So there are some key drivers here that we're comfortable with the pathway we've got in place. And we certainly think that covers our primary partner is going to help us get there. Burn cutters, you know, our also our underground mining contractor prom hill, and they're doing an exceptional job there. So we're comfortable with the selection in our partner.
Kaan Peker: Sure. Thanks. And also just one on Prominent Hill, I think in the prior quarter in flagged as a maintenance backlog just wondering how this was, was tracking? Thanks.
Andrew Cole: Yeah, look it's fairly minor in its impacted prominent hill. So I'm not too worried about it. That is no real, there is backlog in a couple of areas, but it's not causing us any hot equities not causing any slowing of the build-out of the, the the bottom-up sequence.
Operator: Your next question comes from the line of Lyndon Fagan from JPMorgan. Please ask your question.
Lyndon Fagan: Thanks very much. Andrew just wanted to pick up on a few points regarding west Musgrave. I was interested in your comment around looking at downstream options. I'm just wondering if you can maybe elaborate on that and whether you'll talking specifically about downstream options on site and, and sort of what that might entail. And then I guess a related question, I'm wondering if you could maybe give us a refresher on how the soccer, the deposit could actually create some upside at west mosque drive? I mean at 156 million times, it seems like a pretty material size of resource and at 0.6% copper with an existing bit of infrastructure, certainly these prices, it could look attractive, but I can't quite remember if you've articulated how that upside could look? Thanks.
Andrew Cole: So maybe I'll talk about Sucre first. And then I'll come back to the downstream. So as you've said, Lynd [ph] is a 158 million tons about 0.6 copper open pit and it's very close to surface. We've got a reasonable geological understanding of it. There's a couple of interpretations we need to test at the moment and we have put a drill budget in place to, to drill a third that resource third [indiscernible] is currently not in any of our bites cases for Niv Bible, the Westmont scribe project. So the two primary drivers for it being excluded from that base case at the moment, one is just knowledge. We don't have enough drill hole information to give us an indicated resource. It's all still pretty much in inferred. So we can't put into production targets. The second reason is the average grade of soup is about 0.6. Whereas the average grade of Niv [ph] Bible runs out 1% copper equivalent. So it's of lower quality if you like the Niv Bible. But you did right. 150 million tons of 0.6% copper, an open pit environment is a standalone mine in its own. Right and it runs the global average of copper deposits around the world. So it's, it's a deposit that on shore will get exploited. The question for us is when will it get exploited? So should it have a standalone facility, should it bleed into the Niv Bible production profile at some point in the future? Or should it just come at the end of the, my life and turn a 26 year my life into a 36 or 40 year mine life. That question remains unanswered at the moment. But Lyndon your right in that there is a, an, a real option that is sitting there that we haven't really got to yet. And that's why we've allocated some drilling money to it. We're just going through the heritage clearance process at the moment to understand whether the traditional owners are comfortable with us working in that area.So that's where we're up to in the drug program. In terms of your first question downstream at the moment in our base case at West Los gripe, we produce a, a clean copper concentrate and a separate clean Nickel concentrate. So from a copper concentrate perspective, we're comfortable with that, of course, and we're happy to sell it through to our current customer base and new customers in our smelting pool for the Nickel concentrate. We are looking at downstream options,not withstanding our base case is to sell the concentrate to a few different Nickel smelting groups. One of the benefits of moving somewhat downstream is to potentially leverage a clean that the core product. So we don't just lose it into the smelter pool. We can actually track it all the way through to a clean green product to end consumers producing a nickel concentrate is a high volume exercise.So if, for example, you take it to MHP, you can really shrink the overall volume because you upgrade the Nickel in the process and that has a flow on benefits for carbon reduction, operating cost reduction, transport, your skin, et cetera. So we're looking at anything and everything when it comes to downstream options. Ideally we would like to partner with a third party to do this though. We don't particularly want to get into chemical processing or the like so that's the area that we're, we're more exploring. It's what can you take and concentrate into. And who could you work with to actually do that. So that's the question we're posing and we're testing or market at the moment.
Lyndon Fagan: That's a great overview. And thank you. And just a quick followup. I mean, with, with a 20% IRR on the project, when you put the study out last year and commodities clearly much stronger, is there any early work you can do to actually get going on this? Or none of the approvals through yet. I'm just sort of wondering, given the attractiveness of fast tracking Eddie, is there anything you can do?
Andrew Cole: Yeah. Look, Lyndon would love to the, the key critical path activity for us at the moment is working with the traditional owners on developing a land access agreement. And unfortunately with COVID, we're not prepared to put any of the community at risk. So we are trying to work around the COVID lockdown, some constraints, make sure the credit is comfortable before we send out themes into work through heritage clearances understand the project, work on the land access agreement. So that's the critical path activity for us, but we're not going to put pressure on the tos on this. So we want to make sure that they feel safe and comfortable with the process and that process will go as fast as it can. But, and once we've got an agreement with the traditional owners and they tell us they're comfortable with this project going ahead and all of the conditions that we're putting on it that I think will enable us to take the next big step for the project, but there are certainly early things we could be doing and procurement and long lead item, procurement, et cetera. But it really hinges on that process. It is going very well with not interrupt people. It's just difficult to get into the field sometimes as well.
Lyndon Fagan: Thanks very much.
Operator: Your next question comes from the line of Daniel Morgan from Darren showy. Please ask your question.
Unidentified Analyst: Hi, Andrew and team. I take your point earlier, that the Western Musgrave project, you don't necessarily need outside capital to do it. I'm just wondering if given the current anxiety around some of these battery materials particularly from auto makers and battery producers, whether you could enhance the returns by selling a small tape and rolling that up with off-take. Just wondering if, if that's something under consideration?
Andrew Cole: You're good. Or do you want to talk a bit about the process we use a little bit, you run in terms of looking at the portfolio and capital allocation when it comes time to assist the project?
Warrick Ranson:
FIND: So there's certainly a number of scenarios that we're currently looking at and considering as the project develops I think certainly those opportunities around off-take et cetera, are certainly there. What we want to do though, is continue to maintain our flexibility around the project, and then Andrew has already indicated. So, and I think we're continuing to see you know, evolution of battery technology, et cetera. So that's also something that we've very cognizant all by locking ourselves in a little too early and I might have some applaud, but it may also have some, some downside sides. That's a case of balancing through loans through those, as we think about Westmont scribe itself, and then obviously the, the broader portfolio. In fact,
Unidentified Analyst: Thank you. So I know you've got a lot of growth projects in the portfolio and we we've talked a bit about lots of those, but just wondering if you wanted to highlight anything in your exploration portfolio that that'sahead of others or anything that's a key highlight, but beyond the, the, the core operating assets and what's Musgrave, we we've been talking about?
Warrick Ranson: We'll see the key, the key focal exploration areas, if you like are actually in our provinces. So we've talked about sukkah, for example, at west most Grove, which is captured on defined value at the moment. We are, we are doing some peripheral drilling at prominent hill into satellite historic the sections, which are looking encouraging, and we will call Scott satellite or bodies at Carrapateena in Brazil. We've got satellite resources which are chilling out at Phantom, the theater. So we're on track to produce the first resource statement for that later this quarter drilling at Penn Tara we're on track to produce a resource statement later this year and drilling at Petra Branca west. So the key leaders value leavers for this company in those provinces, there are other exploration projects. As I mentioned previously in prune Sweden, they both look technically really encouraging as to a couple of the projects we've got with red medals in Queensland, but they're just early stages. So I don't particularly want to call any one of them out as yet above the others, but the key value labors are the brownfield within the provinces we've currently got.
Unidentified Analyst: Thank you. And last question is on the external environment, you know, clearly COVID border closures cost inflation, a lot of activity in the industry of placing pressure on everyone. Just wondering if there's from risks that aren't obvious to the market that needing to be dealt with from border closures or, or people, or, you know, what are some of the things that are concerning in the the industry at the moment?
Warrick Ranson: I'm sure it's similar situation to all of you on this call. Look, I'd say dealing with COVID we've got sceptically, got operationalized. So this is part and parcel of how we operate now. We've all been dealing with this for 18 months and it goes up and it goes down and gets hard, comes easy. Our teams know what to do. They know how to deal with it. The people are responding exceptionally well, so I'm sure there'll be we'll challenge the head, all of us. So I think that part is going relatively smoothly. I do at every top opportunity I get, encourage people to get vaccinated and actually build a resilience as a country. I think that's something that's really important. We need to play our part in that. Unfortunately, Australian vaccination rates are a bit too low I I think at the moment. So that's certainly one area. The cost inflation environment I talked about a lot, there are things that we can do to keep our cost tight and I think we've demonstrated that in the last year and a half, but we can't keep our cost tight through environment like this. So with that in mind, there are always things that come up, but I think in a way that's why we spent so much time in our organizational culture. It's organizational culture that let's you see these threats coming and turn them into opportunity and I'd say it's one of the things we've done over the last 18 months where our result of turning the COVID threat into an opportunity for this company. It's actually helped cost in many regards.
Operator: Your next question comes from the line of Trent Allen from CLSA. Please ask your question.
Trent Allen: You comment everything I think it's been very comprehensive, thank you. I guess I'm still just curious about that little increase in the copper production guidance from Prom Hill. Is that because of the high grade, there is the increase of the high development rates. I guess also I am asking how is it reconciling to the reserve. Can it still surprise you after all these years at ore body?
Andrew Cole: Look, I'd say on the last point that ore body is full of surprises and they're usually positive, that's usually a good example of a good mine. I think is when you get positive surprises, this ore body has generally positively reconciled on a metal basis quarter-on-quarter, year-on-year. Most of the peak in mix that we are seeing from bulk of production and development efficiencies are slightly ahead on production, slightly ahead on development rate and the plant is performing well. So I think the operation is going well and that's sort of thing becoming known I guess for its reliability and predictability, I think they are really good there.
Operator: There are no further questions at this time. I'd like to hand the conference back to Mr. Andrew Cole for any closing remarks. Please continue.
Andrew Cole: Okay. Thank you very much operator. Thanks everybody for dialing in today. Stay safe. Please go and get vaccinated if you haven’t already and talk again at the half year I suspect. So cheers.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.